Operator: Thank you for standing by. This is the conference operator. Welcome to the Westport Innovations Third Quarter 2014 Financial Results Conference Call. (Operator Instructions) At this time, I would like to turn the conference over to Darren Seed, Vice President of Capital Market and Communications. Please go ahead.
Darren Seed: Thank you and good afternoon everyone. Welcome to our third quarter conference call for fiscal 2014. It's being held to coincide with the disclosure of our financial results earlier this afternoon. For those who haven't seen the release and financial statements yet, they can be found on Westport's website at www.westport.com. Speaking on behalf of the company will be Westport's Chief Executive Officer, David Demers with Westport's Chief Financial Officer, Ashoka Achutan, and Westport's President and Chief Operating Officer, Nancy Gougarty. Attendance at this call is open to the public and to media, but for the sake of brevity, we are restricting questions to analysts. You are reminded that certain statements made in this conference call and our responses to various questions may constitute forward-looking statements within the meaning of U.S. and applicable Canadian securities laws, and such forward-looking statements are made based on our current expectations and involve certain risks and uncertainties. Actual results may differ materially from those projected in the forward-looking statements. Information contained in this conference call is subject to, and qualified in its entirety by, information contained in the company's public filings and except as required by applicable securities laws, we do not have any intention or obligation to update forward-looking information after this conference call. You are cautioned not to place undue reliance on any forward-looking statements. Now, I will turn the call over to David Demers.
David Demers: Thank you, Darren. Good afternoon everyone, and thanks for your interest in Westport. Q3 was a challenging quarter on several fronts as we continue to market transition plan that we've been working through over the past year. I'll go through some of these short term conditions that have affected our business. And then of course Ashoka and Nancy will highlight changes that we’re going to be making as a result.
 : As we reported today, Westport direct sales in the third quarter fell sharply year-over-year and sequentially from Q2. On a apples-to-apples basis, if we adjust Q3 revenues to base line excluding R&D milestone payments, and removing discontinued products such as the Westport 15-litre, we see year-over-year revenue decline up 24%. This is still disappointing when we’re looking for strong growth and we need to work to improve results. Our joint venture in China, Weichai Westport saw reasonable growth, particularly as we look at the year-to-date performance and its on pace for a solid beat of last year's unit sales and revenue. Cummins Westport had a much better quarter than in Q2 and we’re optimistic about our position on warranty expenses for the ISLG engine going forward which has dampened earnings in that business over the past six quarters. Now we're looking hard at the market dynamics to deliver these results and whether this is a one time blip or a new factor that we need to build into our plans going forward. We haven't completely finished this analysis of course, but I will run you through some of our preliminary deductions and Nancy will weigh in with her thoughts later on the call. Obviously we've been impacted by oil prices and we don't know where oil prices are going. Consensus today seems to be flat to slightly down through next year. Although the differential between natural gas and oil prices remains intact in most markets, since gas prices are down, the overall incentive to migrate to a new fuel is weakened in markets where there are no incentives. In general, European alternative fuel products have been hit hard by reductions in government incentives, by the decline in oil prices, which as I said reduces incentives to look for change but also generally softened economic conditions across Europe, which have a huge shipments of new cars. This is the reduced demand for our systems and components for many OEMs in Europe. However China and India remains strong in growing markets and in North America, we think cleaning fleets are moving forward and doing well. So at this often, we see a mix of stronger and weaker markets and we're rebalancing our resources to take better advantage of the best opportunities. The sudden and frankly unanticipated drop in our product sales this quarter and our restructuring cost hit adjusted EBITDA and our operating business feel from a $1 million positive adjusted EBITDA profit last quarter which we had celebrated as a major milestone for us in our transition plan. This took us down to negative $5.4 million this quarter. We took immediate action in October to reduce our operating expenses. We had a stock reduction about 9% globally which will take effect in Q4. Executives across the company have also accepted on average a 12% salary cut as of January 1st. Plus drop in 2014 earned bonuses and 2015 cash bonus program completely and return for restricted stock units which will vest over the next three years. For the record Nancy, Ashoka and I led this process with a 15% salary cut. The executive compensation cuts will have a positive impact for both $7.4 million in cash savings next year. This combined, with staff reductions and other immediate control measures add up to approximately $13 million in 2015. Now independent of this short term reaction, as we've been telling over the past year, Westport has been continuously adjusting our long term product development investments and prioritizing our program spending, based on market timing signals and partner readiness. We’re still working with key global OEMs despite recent confusion in the capital markets around Westport and what's happening and we will continue to develop leading edge natural gas technology and products. However, we can focus and prioritize our investment spending to returns as does any business giving the current situation in the energy markets. Now we'll see less net spending on new product investments in 2015. These three factors play here. We’re completing some major product programs such as our next generation engine for Volvo cars which we expect will move from expense to revenue generation mode in 2015. We’re seeing strong engagement and interest from several perspective partners to co-invest with us on some new programs, which will reduce the need for Westport to invest our own cash and enhance our returns. And third we are postponing, retiming or simply not making proposed investments where we think the market timing doesn't match up. For example, the operating business remains a compelling long term opportunity for us but we believe Westport can look to partners and customers for more support as this market develops over the next few years. The timing of product adoption is going to be paced by long term investments in LNG fuel supply. So we're going to get a reasonably good read at of how fast this is going. We just recently shift the fourth LNG rail tender earlier this month. And we’ll be working with customers to develop new orders in this area. Now during the quarter we did announce two major updates to our long term products investment programs. First, we announced our new enhanced spark ignition engine, called ESI, which has been presented to several global OEMs over the past few months with the intention of developing medium duly dedicated natural gas vehicles with significantly higher performance and fuel economy than we see from conventional spark ignition engines in the marketplace today. Response to-date has been encouraging. We’re seeking risk sharing commercialization agreements with perspective manufacturing partners now. We also announced a major shift in our HPDI programs with most OEMs as Westport and Delphi rolled-out our jointly developed HPDI fuel injection system at the Hanover trade fair last month. This next generation system which we first announced in March of this year, will provide higher performance, durability and scalable manufacturing. I think this is an exciting development that will encourage wider adoption of HPDI as a path to high performance natural gas vehicles. Now this year we've seen continued growth in infrastructure development around the world, and we’ve seen a very significant growth in the number of fleets who actually have some natural gas trucks in operation. Anecdotally, they tell us they intend to buy more next year. We've also recently seen publication of long term performance and operating cost from some of our early fleets, such as better transport and BC. They reported three years of operation showing significant fuel cost savings, no impact on reliability or service cost and strong confidence in the future of natural gas in their trucking operations. Of course they recommended that fleets need to do their homework. The message from all this that we and our OEM customers are hearing is simple. Natural gas is here to stay. Customers are asking OEMs to expand their natural gas product offerings to match the wide variety and the specialized features that are offered today in diesel and gasoline vehicles. More infrastructure is needed, and customers are going to want a big expansion in services and support as they make this transition to this new cleaner and cheaper fuel. So overall we see no reason to shift our views on the five year market opportunity. Although clearly the path forward is not a straight line. The industry is still growing beyond the expectations of just a few years ago, and I firmly believe that Westport and our shareholders are on the right place to take advantage of this new opportunity. Thank you for your support and interest. I'll turn the call over to Ashoka to run through the financials and then Nancy will discuss some of our operational priorities. Ashoka?
Ashoka Achutan: Thank you, David. Good afternoon everyone. With quarter ended September 30, 2014 we recorded consolidated revenue of $25.3 million compared with $46.5 million in the prior year period. The breakdown of this $25.3 million is $18.2 million for the applied technologies, $6.6 million for on-road systems, $0.3 million for off-road systems, and $0.2 million for corporate and technology investments. As David mentioned however it's important to compare apple-to-apples here, and last year we had a significant payment from an OEM which we showed as service revenue and also had sales from our first generation HPDI system When you offset this service in HPDI revenue, the comparison is $22.4 million for Q3 of this year compared to $29.3 million for Q3 of last year. Continued market uncertainty on our natural gas components, discontinuation of the first generation Westport HPDI system, and lower sales of Westport WiNG Power System products has impacted our revenue for the third quarter of 2014. Westport revenue unlike data for joint ventures includes a wide portfolio of products, sold in widely disparate markets including different geographies. We see considerable variation in results across the portfolio, and different sensitivities to external factors such as oil prices that affect diesel and gasoline prices at the pump. China is developing well and India shows strong promise, now the diesel subsidies there are shrinking. We have seen significant impact on our business with OEMs in Russia due to the decline of the ruble and the complexity of compliance with sanctions. That said, we have new products coming online in 2015 which may turn that story around. I'm also happy to report that our Volvo car business grew year-over-year and achieved positive operating income for the first time since its acquisition. In the U.S. Ford sales are visibly affected by the decline in gasoline prices to the lowest level in four years. Although it is true that there is still a big gap between gasoline and CNG prices, the incentive to aggressively shift to CNG is simply not as strong. The Westport iCE PACK product revenue which we expected would rise to replace and exceed the Westport 15-liter HPDI revenue has been slower than anticipated to get market traction and a major order was excluded from our guidance. I also want to point out that for the period ended June 30th, 2014, the company corrected the accounting for a portion of the On-Road parts revenue that came to us with the BAF acquisition last year. As a result and in consultation with our auditors, the company made an immaterial adjustment to reduce total revenue for the six months period ended June 30 2014, by $4.1 million from $82 million to $77.9 million. Offsetting this revenue reduction is a corresponding deduction in cost of revenue for the same period by $4.1 million from $56.1 million to $52 million. In addition, the company combines parts revenue with product revenue for all periods presented. I want to stress here that the adjustments have no impact whatsoever on our revenue guidance, the consolidated balance sheets, statement of cash flows, net loss or basic and diluted loss per share for all periods presented. Our consolidated gross margin and gross margin percentage for the third quarter was $8 million and 31.6% compared with $16 million and 34.4% in the prior year period. This decrease in gross margin and gross margin percentage for the quarter is primarily due to product mix and a reduction in high margin service revenue. Research and Development expenses were $17.6 million for the third quarter compared with $23.5 million in the prior year period. Selling, general, and administrative expenses were $15.6 million for the third quarter compared to $19.4 million in the prior year period. These operating expenses decreased primarily as a result of our exiting production of our first generation Westport HPDI system and consolidation of facilities. Our R&D and related investment spending will be closely monitored and should decrease as certain programs come to their successful completion and we continue to prioritize investments to the pace of market adoption and partner readiness. For the third quarter of 2014, our net loss was $25.5 million, or $0.40 per share as compared to a net loss of $30.2 million, or $0.53 per share in the prior year period, an improvement of 16%. Moving to our joint ventures, Cummins Westport, Inc. or CWI generated $70.6 million in revenues during the quarter on delivery of 2,171 units, which is a 10% decrease in volume over the prior year period. However, this decrease is primarily due to the timing of shipment of the ISLG for refuse applications and lower ISLG volume in North American trucking applications in the quarter. When you compare CWI engine shipments year-to-date, it increased by 11% to 7,130 units compared to the prior year period. This is mainly driven by higher shipments in North America for trucking applications which increased 35% year-to-date as a result of the launch of the ISX12G. During the third quarter, CWI's operating performance was impacted by $1.1 million of warranty related adjustments, primarily related to the 8.9 liter engine. This compares to the $15 million charge we had in the first quarter and the $10.2 million charge in the second quarter of this year. Excluding this warranty impact, our portion of CWI's net income would have been approximately $1.4 million instead of $900,000 as recorded. Clearly, the trend on warranty is headed in the right direction and the CWI team has made remarkable progress in identifying and resolving the warranty issues and we expect continued improvement in gross margins and net income in the upcoming quarters. Weichai Westport Inc., or WWI, generated $179.3 million in revenues during the quarter on delivery of 14,587 units, which is an increase of 61% over the prior year period. This is primarily due to Weichai Westport's aggressive efforts in market creation activities. The gross margins are still indicative of a market creation phase and incentive base pricing, but this is a market where we see significant growth in natural gas vehicle sales and we will seek to leverage other technologies and products such as HPDI to derive better financial returns going forward. As of September 30 2014, our cash, cash equivalents, and short term investment balance was $130.2 million. During the third quarter, cash used in operations was $31.4 million, compared with $28.9 million in the second quarter of this year. This increase of $2.5 million is primarily to the margin impact of lower sales. The company's cash usage excluding changes in working capital is $25.3 million for the quarter. We continue to make progress towards our goal of consolidated adjusted, positive adjusted EBITDA by the end of 2015. To help us achieve this goal, we’re doing the following. One, aligning investments and expenses to the pace of market adoption and partner readiness. This means carefully prioritizing our investment programs including deferral of non-core programs, and methodically allocating capital to products and technologies designed to deliver attractive returns in the future. Two, right sizing the business structure and reducing expenses including executive salary reductions. The results of these efforts is a cost saving of more than $30 million in 2015. Three, increased contributions from Westport's operating business units. We expect to launch a number of new products such as the Westport 3.8-liter industrial engine and a spark ignited natural gas system using the WP580 ECU for the Russian OEM. We also expect higher iCE PACK sales and component sales to new OEM customers in the upcoming quarters. Four, we expect to generate higher income from both our joint ventures next year. And five, we expect to earn additional service revenue from our development partners. To conclude, we are reiterating our revenue guidance for the year to be between $130 million and $140 million. We recognize that we are now at a new level in our business and revenue and have been adjusting that operations accordingly. We continue to firmly believe in our strategy, remain confident in our ability to execute against it, and expect our business model will deliver great value to shareholders as this shift to natural gas inevitably plays out. Thank you. And I will now pass the call on to Nancy.
Nancy Gougarty: Thank you, Ashoka. Good afternoon everybody. My focus will be on the operating units for this call and then I am going to pass the call back to the operator for questions. So with that, let me get started on the On-Road systems. Westport continues to have successful demonstration programs on our Westport iCE PACK LNG tank system, with fleets in the U.S. and especially for companies like American Protein, which has resulted in sales order. Furthermore, we have had customers that we've had Hoopes Trucking, LLC, continues to purchase iCE PACK for their natural gas fleets and expected delivery in operational activities by the end of this year. The Ford business, this is where Westport is the largest QVM, has faced some challenges due to lower gas prices. However, fleet management companies still have a very strong focus on our products. During the quarter in fact, Westport delivered 40 shuttle buses powered by Westport’s WiNG System to the Dallas Fort Worth International Airport. Westport now offers fleets interested in the Ford Transit Van with the Ford WiNG System, a free demonstration up to three months designated to give the experience and the benefits of operating on CNG. Our Ford Canada activities are also started showing some traction with the oil and gas fleet. As mentioned earlier, while starting from a small base, our Volvo Car revenue has increased over last year and is helping to offset some of the reductions we've had in our Ford business primarily due to the launch of the Volvo V6, bi-fuel vehicle, plus our continuing offering of the V70 bi-fuel. If we move into the applied technology in Italy, we are focusing on lean activities and proving our cost structures. We have seen some markets around the world present new challenges while other pockets are growing. We covered our headwinds in our near term financial update months ago, so I am not going to focus on that. So let me take it from here.
 : In addition GAZ has awarded Westport to supply their LPG system for their new GAZelle vehicle which will meet the requirements of Euro-5 emission standard. Westport began delivering Westport WP580 Engine Management System controller and perhaps another term for that to the companies in the U.S. that specializes in aftermarket natural gas powered engines. The first five medium-duty trucks were converted and are now running in Texas. In addition, the integration of the WP580 EMS system is in the Tata Motor's 3.8-liter and 5.7-litre engines and is going as planned. With a bit of focus here on Off-Road, the fourth and final LNG tender will shift to Canadian National Railroads in early October. The tenders and the two EMD dual fuel locomotive are expanded to transition to Edmonton in the fourth quarter where they will began their redevelopment and running between Edmonton and Ford McMurray. Our long term program with EMD continues and recently at the High Horsepower convention proved ample evidence that this market is moving to natural gas over the next many years. Onto some core program development activities, Weichai Westport HPDI 12-litre engine recently received China V emissions certification as ready for customer fuel testing. We have the HPDI units ready for shipment and are working with the trucking OEMs in specific we are working with Shaughnessy Heavy Duty Automotive to produce the trucks. Although HPDI trucks were recently tested in cold and hot testing and the system performed well. Development of the next generation HPDI injectors with Delphi continues and the second set of prototype injectors will be delivered to us at the end of November. The investment in the 3.8-litre industrial engine is moving along and we expecting customer trials in Q4. This is an example of some of our off-road activity. Our portfolio technology such as Westport HPDI and enhanced sparked technology enables high performance vehicle makers to lead natural gas products. We have led - we have the lead in technology and strong brand to stay ahead. These challenges times has given us an opportunity to reprioritize our business and product development efforts to maximize our near term success. Our strategic priorities for the near term through 2015 are clear. Although the past may not be linear, the opportunities can be transformative for the company. With that, I will close and pass it back to the operator to open for questions.
Operator: Thank you. (Operator Instructions) The first question today is from Ann Duignan of JP Morgan. Please go ahead.
Ann Duignan - JP Morgan: Hi, good evening. Can you talk about the outlook into 2015 and beyond if all prices stay where they're at or even at trend lower which we believe they could do?
Dave Demers: Everybody is looking at me Ann, so I guess I get to take it. It's been really interesting watching the projection of oil prices and obviously what is more important in our space is the differential between gas and oil. What seems to be pretty intact in most of our markets, it hasn't changed a lot because GAZ has been drifting down too as you know. What does change is the - call the physiological urgency around moving. So, I think that we are definitely seeing immediate impact on fleets like forward pick-up trucks with gasoline approaching $3, is just not as urgent priority, so sales are off but they are not going to zero either. I think what I was trying to elude to in my speech is that, the fleets that are moving to natural gas and have natural gas, I think are quite determined to proceed ahead because its clear they're going to be making money. So I think that discipline is going to push ahead. It might be the pace of attracting new adopters that's going to slow down. So we are certainly moderating our expectations on the frenzy going forward. But I think we will always try to downplay some of the hype, we heard a couple of years ago, there's always been barriers toward immediate adoption in this market. I think this is just going to continue to carry on with people that are looking to save money. Very different dynamic in places like China and India where the opposite is happening. China has got some very strict directors. So we see that accelerating pretty much as plan. India, removing diesel subsidies, I think they are quite relieved that there seem some opportunity for color on this one. So these markets where we are seeing focus on natural gas be enhanced as well. So on balance, where we're going to go is put our resources and our focus on the markets where we see the most demand. And I don't think that's too radical.
Darren Seed: Ann, I might add, we usually do issue our annual guidance in February. So I think we probably take the next two months looking to some of the more commodity markets and see where it is in fact and come our conference call for year end and outlook for 2015 in February, we'll have a better position to give you then.
Ann Duignan - JP Morgan: Okay. That's helpful. Thank you. And then just more of a philosophical question. I know you talked about eliminating some non-core projects, et cetera, but as I just listen to all of the activities that are going on globally it does seem like the business is still very fragmented and not really focused on what it want to be when it grows up. I know it's not an easy question to answer but when we hear about rail-cars, we hear about LNG tanks, European automotive components and we hear about activity in Russia and India and China. Can you talk a little bit just about five years out assuming oil prices stay where they are? I mean what is Westport going to look like five years from now? 
Ashoka Achutan: Let me take that Ann. As I mentioned in my talk, unlike our joint ventures, our products are sold in different markets and different geographies and each have their own set of parameters and influences that impact the business. We know for instance that China is a tremendous opportunity for us and it would be foolish for us not to have a sizeable presence there. So it's just the way I see it. It's a nature of the beast. We are monitoring geographies. We are monitoring technologies very closely, so that we’ll be in a position to place our bets at the right time and on the right technology and in the right geography. Do you want to add anything?
Dave Demers: Let me just jump on that a bit Ann. I think that what we've been trying to convey, which isn’t clear, our customers are the OEMs. We are trying with vehicle OEMs who make things that have wheels generally, and our focus is being on people who make commercial vehicles not passenger cars. So, when you say we're unfocused, its gets my question up, look there is only a few dozen peoples who makes those vehicles, and we go where they tell us. If they think their market put their customers like Volkswagen, our customers are in China and we want to do this product that's our customer. So it's not I think our strategy where the world doing things. We’re working with our customers like Ford or Volvo, or Volkswagen they all get different views of where natural gas makes the most sense for them and we do what they tell us. That's kind of it. Now we happen to believe that virtually everybody in the world is going to need to paint their product line with natural gas over the next few years. They are all going to get it there eventually. But right now, our focus is on working with the people who are working with us today, or who show up at our door, saying I have a bright idea. And if that happens to be a GAZ in Russia or Tata in India, we see them as great customers and try to make them happy. I think the question of where we are in five years, we’ve always said we think material market penetration does take a couple of product generations probably. So we have forecast for trucking in the U.S. which is - go where the people continue to waiver own, is 7% to 10% market penetrates by 2020. We think there’s been good work on scenarios that suggest that's realistic and the pace of infrastructure is realistic and that the spread of idea across fleets at various times makes some sense. 7% to 10% - rail was not a good idea, but actually very interesting business fairly concentrated, we’ve got a very engaged and excited customer at EMD and full on let's go. Now the part that we're planning with EMD is supplying the fuel because we have the pump technology that is necessary for those high performance locomotives to move. Obviously, we don’t build railcars, we work with people who make railcars but our contribution is the LNG intelligence and the fuel technology that can keep up with the locomotive. So it might look fragmented but at heart it's I would say pretty straight forward, there is a few dozen major manufacturers of engines that will use natural gas, that's where we are trying to do business.
Ann Duignan - JP Morgan: Okay. In the interest of time I will get back in line. I did have one other one if there's time at the end I will like it take it up. Thanks. 
Operator: The next question is from Rob Brown with Lake Street Capital Markets. Please go ahead.
Rob Brown - Lake Street Capital Markets: Good afternoon. I was just kind of wondering about you could clarify where you're at with Volvo truck. I know you've said things have been delayed. We've heard Volvo say they've really pushed that or cancelled that in the U.S. Could you gist give us some color on really where you see the Volvo program at right now?
Nancy Gougarty: Well, having just come back from [room] (ph), let's see I'd say that, we continue to work with them as I mentioned in my short words that I gave that, we are proceeding both on the power train side as well as on the truck development. We have completed the hot and cold test fleets with them. And we continue to work with them in terms of readying the product for market. I think that from a North America market perspective as you mentioned, at this point in time our focus is really turned to Europe, we think that that’s great place to launch the product and to move it forward. So, that's been the focus at this moment in time. And as mentioned also, we are now working hand-in-hand with some other industry players such as Delphi to enhance the technologies and make sure that, we've got the best product that we can head to market here on HPDI offering.
Rob Brown - Lake Street Capital Markets: Okay. And on Delphi could you just remind us again sort of when that product gets ready? The production line is set up and when the production line will be ready and your latest thinking there?
Nancy Gougarty: We’ve got several products with Delphi already, so I mean we’re in production on a couple of variants, and I mentioned that on the phase 3, we have some parts that are coming here in the November time frame. So, we’ve got two variants that were relatively far along on and the other one that we’re getting now, a sample one, so that’s progressing quite rapidly as well.
Rob Brown - Lake Street Capital Markets: Great. Thank you.
Dave Demers: Rob, we made about a month ago talking about the new injectors coming of Delphi, that’s still probably another year so out before those ones are ready for production, to answer your question.
Rob Brown - Lake Street Capital Markets: Okay. Thanks, I’ll turn it over.
Operator: The next question is from Jerry Revich of Goldman Sachs. Please go ahead.
Matt Rivack - Goldman Sachs: Good afternoon. It's Matt Rivack on behalf of Jerry. I'm wondering if you can talk about order trends in the wholly-owned business and specifically whether or not you think they can ramp off the challenging third quarter level.
Ashoka Achutan: Just to clarify Matt, do you mean on the component level at our applied technology business? Is that – 
Matt Rivack - Goldman Sachs: That will be helpful to start.
Nancy Gougarty: This is Nancy again, I would say that, our operations in Italy is really the core to the business at this point in time. What we're finding is we've had really successful growth in several regions, regions in South America, India, and China are growing significantly. What we’re finding is some of our traditional markets and even the markets that have geopolitical issues whether it be Thailand or Russia, are a bit at this point in time in contrary to us as we’re trying to understand exactly what to do. In Ashoka's comments he mentioned even in Russia what we’re finding is the Ruble to the Euro is one deterrent and just the uncertainty relative to some of these markets. So, at this point in time in the high growth markets, we are getting our position increased and in some of our traditional markets, we're at a point where we’re looking at those businesses and supporting them and trying to make sure that we are getting our share of the business. But I would say, at this stage of the game in calendar year of 2014 we've had to take some of the challenges on and that's why last month, as we talked in that report on our near term financing - that our near term financial projections we did make some changes to that.
Matt Rivack - Goldman Sachs: Thank you. And then switching gears a little bit to the ice pack tank systems. Any update you can provide us on where the customer stands on the orders you mentioned which were going to be delayed.
Nancy Gougarty: At this point in time, I am not going to comment on those. We're still working through opportunities on those, so we need to continue to understand what that is, my guess is as we get that clarified, we'll send some signals out to the market as appropriate.
Matt Rivack - Goldman Sachs: Perfect. And then lastly if you could just maybe touch a little bit on what drove the reduction in the Cummins Westport warranty adjustment in the quarter and then make what gives you confidence that these levels are sustainable here?
Nancy Gougarty: I'll give it over to Ashoka, and he can talk to that.
Ashoka Achutan: As I mentioned, there was a significant, a very significant reduction in warranty charge this year, and if I remember the numbers, they're $15 million in Q1, $10 million in Q2 and $1 million in Q3. If you recollect it's almost entirely related to the 8.9-liter engine which had been seeing some significant quality issues. We have identified the root cause of the issues. The solution has been developed and the solution is actively being rolled out to the truck population out there on the roads. And for the feedback we’re getting from those customers who had these repairs done and changes installed is that the problems have been addressed, and management is extremely confident that the worst is behind them, and we expect to see hardly any warranty adjustments related to this product going forward.
Matt Rivack - Goldman Sachs: Thank you very much.
Operator: The next question is from Laurence Alexander with Jefferies. Please go ahead.
George D'Angelo - Jeffries & Company: Hi. This is George dance sitting in for Laurence. 2015 is another transition year and I know you talked about this a bit but are there R&D programs that can be paired back and can you just quantify the degree of flexibility left on the cost side?
Darren Seed: I think I'll start David or Ashoka can jump in. George you should see the impact on R&D into 2015 when some of these programs come to completion, so the prioritization of investments. So it's reasonable to expect R&D as operational expense to see that impact.
George D'Angelo - Jeffries & Company: Okay.
Nancy Gougarty: The 580 is a perfect example that most of that R&D work is being done this year. So, the roll out of both the GAZ and the Tata vehicle is an example that we’ve got some other roll-outs of other product portfolio as well. So, with that by the time we close this year, the 3.8-liter industrial engines is another example of that. So, lot of those projects are closing out this quarter end and early part of next quarter. So our 2015 R&D expense will be reduced by that load.
Ashoka Achutan: I just want to clarify that the R&D expense is net. When we tell to reduce R&D - we mean independent investment by last quarter. And I think what we want to see and what we are seeing, in our programs where we have partners and customers who are funding some of these R&D or all of the R&D. And so although you might look at our gross R&D number, call it $80 million this year, I am not saying that we will cut to something like $20 million or $30 million next from $80 million, but you may see a lot more service revenue or service contribution that takes our net down to something that is sustainable. Obviously, we're not going to hit positive EBITDA by the end of next year with the current R&D run rate that we continue to invest on our own at this pace. So, it has to be a combination of programs that end and new revenue and gross margin coupled with more investment by other people in those programs, where we’re doing R&D effectively as part of the partnership or on contract. And so, we can’t give you an awful lot more details on that but we’ll give you some more insight at the start of the year as to what we think 2015 will load out. But obviously it’s got to be a pretty dramatic change in the nature of our R&D investment next year, we’re going to hit the goal what we’ve been shooting for.
George D'Angelo - Jeffries & Company: Okay, thanks. Just a little follow-up. You talked about a 12% salary cut across the Company. Have you seen any, particularly in your engineering staff, have you seen any attrition because of that? Thanks. 
Dave Demers: Sorry, we have misstated that, it wasn’t across the company, it’s across the executive team. Call it Vice President level and above.
George D'Angelo - Jeffries & Company: Okay. Thanks.
Dave Demers: For exactly that reason, I think we’ve got to be very cautious that we've got a lot of people working very hard and we can do all kinds of things around working conditions, but cutting salaries in a competitive industries, use your recipe for seeing higher attrition which isn’t what we need. So, this was our proposal to the executive team and I was really pleased and gratified that absolutely everybody stepped up and agreed. And for the period in 2015, I think everybody's heads down on achieving our financial goal. So, we are - .
George D'Angelo - Jeffries & Company: Thank you very much.
Operator: The next question is from Eric Stine with Craig-Hallum. Please go ahead.
Eric Stine - Craig-Hallum: Hi. Thanks for taking the questions. Just to clarify on the warranty charge, so that is a catch-up of accruals of systems in the field, is that right? Is that how we should think about it?
Ashoka Achutan: Right. That's how you think about it.
Eric Stine - Craig-Hallum: Okay. Just curious on visibility into when going forward you see taking lower accruals per unit and just thoughts of when you think its possible getting back to that 30% plus gross margin for CWI?
Ashoka Achutan: We're going to see the ongoing decline in warranty accruals. There’s no doubt about that, matter of fact we’re seeing it already this year. And we are gratified by the results of the – of the changes that have been made by the engineering team at CWI and I think the next few quarters will be ample evidence of improved warranty performance.
Eric Stine - Craig-Hallum: But you seem to be getting low close to the end of the catch-ups, right, for what is in the field? 
Ashoka Achutan: And in terms of gross margins, it's product mix. I mean that makes a big difference in the gross margin performance of the CWI business.
Eric Stine - Craig-Hallum: Okay. Maybe just turning to China, curious how the pipeline is developing for the WP 12 as you get close to getting test systems in the field and then just curious with MS 4 standards coming on January 1st, just initial thoughts on pricing versus diesel trucks in the field?
Nancy Gougarty: Let me take the first half. I am not sure I have an answer for the second half for you, but I would say that we’re really pleased that through the engine center that we were able to get our HPDI 12-liter validated for the Euro-5, which right now as you had mentioned, they’re looking to go to China for regulating. So, to get all the way to China-5, does put at the head of the curve and we’re please about that. I would say in terms of your last question, I’m just not in a position to comment on that. I am not - the China market and where they are relative to pricing, and I’ll say fuel et cetera, I’m just not, I’ll say schooled enough on that particular item.
Ashoka Achutan: I think we do - answer all your questions, we still expect to have HPDI systems rolling around China this year in China.
Nancy Gougarty: Yeah. That's correct.
Eric Stine - Craig-Hallum: Okay. Maybe last one for me. Just on marine. This is an area that last year you identified as would be ideal for HPDI. Just curious whether we should look for something there or whether that's one of the R&D programs that maybe is being put aside?
Nancy Gougarty: I would say that we continue to talk and in some cases we have teamed up with some other companies to understand exactly where we could go on the marine. One area is – for some of our customer interest for iCE PACK, we are looking at using that technology for the marine industry. I would say some efforts are going into that to understand exactly how we can do fueling bunkers and those kinds of things. So, I would say more of that as we roll into calendar 2015 as that product gets more defined.
Eric Stine - Craig-Hallum: Okay. Thank you.
Operator: Next question is from Noah Kaye with Northland Capital Markets. Please go ahead.
Noah Kaye - Northland Capital Markets: Thank you very much. So you've mentioned a 9% headcount reduction that will start to impact in fourth quarter. Just in terms of the accounting are you going to be recognizing any kind of restructuring or severance expenses in the fourth quarter associated with that? And how do we think about that rolling through next year?
Ashoka Achutan: Yeah. We will account for most of it in the – almost all of it in the fourth quarter. So, that's where you’ll see it.
Noah Kaye - Northland Capital Markets: So you will take a charge?
Ashoka Achutan: Sorry.
Noah Kaye - Northland Capital Markets: So you will, you do plan to take a charge?
Ashoka Achutan: That is correct.
Noah Kaye - Northland Capital Markets: Okay. And sort of above and beyond that, I think you alluded to it in several different programs winding down, but how much do you think you can really reduce out of possibility R&D over the next 12 months?
Ashoka Achutan: When we talk our pocket R&D, are you talking net R&D.
Noah Kaye - Northland Capital Markets: Net R&D, exactly.
Ashoka Achutan: As David mentioned, there are number of factors that play into it. One, of course we have programs coming to their successful completion which will terminate. Two, we are prioritizing and calling if you will certain programs that we align with the pace of market development. And three, most significantly we will have partners contributing to our R&D programs in a significant way. 
Noah Kaye - Northland Capital Markets: And just to revisit the introduction of the HPDI 1.0 I guess program into China. Can you talk a little bit about how we should think in terms of a pricing delta for this which is obviously going it be a higher performing system but likely a higher priced than what is currently being offered through the JV and how to think about an incremental payback on that?
Nancy Gougarty:
 : At this point in time, for the first units that we're shipping out and we’re looking to do, those are obviously under special pricing circumstances. So, at this point in time, we’re in - I’ll say prototype pricing scenarios and working that because there's a lot of obviously development cost et cetera in those and low volume tooling. So, at this point in time, we're going to make sure that those products are running and sufficient and getting up down the road as we then will continue to work on what we think serious production pricing is.
Noah Kaye - Northland Capital Markets: Sure. And thanks for that Nancy but just to clarify, you say HPDI 2.0. Are these using the new generation of Delphi injectors or are these the legacy injectors? 
Nancy Gougarty: They are using Delphi injectors but they are using - not what we call the phase-3 but they are using a variant that is I’ll say a core generation of them and it is product that is produced for Westport by Delphi. So, we have been using the Delphi injectors even in HPDI 1.0 and Delphi has been our soul partner relative to the injectors systems for the HPDI units.
Ashoka Achutan: And to clarify even further, I guess still unsaid, the 2.0, the next generation Delphi injectors those are co-developed and those are the ones that still are some time out before they come to commercial production. I think somebody asked that earlier in the call but just wanted to clarify that the third generation is built by Delphi but it is really under our Westport staff.
Nancy Gougarty: Yeah. And that's the one that we used in the validation of the China-5 variant.
Noah Kaye - Northland Capital Markets: Okay. Thank you so much for the color. Appreciate it.
Operator: (Operator Instructions) The next question is from John Quealy of Canaccord Genuity. Please go ahead.
Jim Moore - Canaccord Genuity: Hey folks. It's Jim Moore, for John. For ice pack outside of the big order that got taken out of guidance it sounds like you're starting to see some better transaction. Can you just talk a little bit about how that product is performing, where we stand in terms of deployments and how we should be thinking about profitability? Thanks. 
Nancy Gougarty: Yeah. I would - several things, I would comment is that we are definitely seeing traction. Our traction is coming from folks that we have been working with over time and as I mentioned Hoopes Trucking is a company that has bought 15-liter HPDI 1.0 engines from us in the past and has had a good experience with us. So, therefore we have continued to work with them. So, they are, what I’ll call them an early adopter that is working with us and they see the continued value. But then we have customers on the other hand, such as Kroeger and American Proteins that are – I’ll say now new adopters that are coming in and seeing very positive results. Not only do we work with them obviously Delphi the truck but one of the things we have been doing is working with them on routing and those kinds of things in order for them to ensure that they get the efficiency relative to the fuel. And so, what we’re finding is that our relationship with the OEM truck builders to get it on the truck but also with the fleet owners in order to maximize it has been really the key to our success there. So, there’s close integrated relationship is something that we’re going to continue and we think it’s going to have continued results in a positive way for us at Westport.
Ashoka Achutan: And Jim, there’s also been an expansion on effectively application, the systems we’ve been largely selling to-date has been for On-Road and I think there are some Off-Road. Nancy alluded to marine as an application in terms of earlier. So, there are other applications that should provide some growth on a year-over-year basis into 2015.
Jim Moore - Canaccord Genuity: Okay. That’s helpful. Appreciate it, and just a last question from me, on the new enhanced spark engine for medium duty, maybe you can just talk a little bit more about go-to-market for that and milestones we should be looking for it?
Nancy Gougarty: Okay. On that, as we mentioned, we’ve got several OEMs that are interested. It’s a product that since we did our press release which was in the mid-September time frame, we really had virtually every corner of the earth come back to us and ask. So, we have been successfully marketing in obviously major markets, China, Japan, Europe, and North America. At this point in time I think - our discussions are now in - I’ll say where we’ve had multiple meetings with several of them, and that we would hope that - we’re quite hopeful that, we’ll be able to enter into a development phase with one of them. But I think that they - interesting side for this product is that, it is the amount of interest we have because of the performance characteristics as we outlined in our press release has really gotten people's interest and there’s a lot of opportunity in the medium duty space which is where we think that this product fits in it.
Jim Moore - Canaccord Genuity: Thank you.
Operator: We have a follow up question from Ann Duignan with JP Morgan. Please go ahead.
Ann Duignan - JP Morgan: Yes. Hi. Thanks. Just on that very topic. Just to be clear, this new spark ignition or ESI that you're developing, - you would be selling just the spark ignition system or not the spark plugs but whatever enhanced spark plug system you have developed, you're not selling an engine with the spark ignition?
Nancy Gougarty: Ann, our work would be within OEM that would allow us to outfit the engine with the spark ignited system. But it would - in our product offering we would be offering the component tree, we’d be offering the control system. And on OEM cases, OEMs we'll want to do it in their own production facility and run it down their production line. And so in that case we will be working with them in terms of outfitting the truck, outfitting the engine and then potentially even kitting parts to them in order for them to do the assembly and other cases customers have thoughts of how they would like to do it differently.
Ann Duignan - JP Morgan: Okay. And how would this compete or fit in with the Westport joint venture products?
Nancy Gougarty: CWI, I would say that this would be a competitive product with some of the offerings they have. At this point in time this particular product as we’ve said in the release have some characteristics that have performance, attributes that could get significant performance and allow it to - smaller size engine to behave more like a larger engine. So, we think that that is really the value proposition that we’re putting forward on that.
Dave Demers: But conversely, Ann, it would be avail to many OEMs. If any of your existing joint venture partners were interested, there’s no reason that we wouldn’t engage with them. I think it’s just a function of first come first serve.
Ann Duignan - JP Morgan: Sure. And I appreciate that this would be available to integrated engine manufacturers, too. So okay. Good. Thank you I appreciate the clarification 
Operator: There are no more questions at this time. And I'll hand the call back over to Mr. Seed, for closing comments.
Darren Seed: Thanks very much everyone for your attendance. And we look forward to seeing everybody in February for the fourth quarter and year end conference call.